Operator: Welcome to the S&W Seed Reports First Quarter of Fiscal Year of 2015 Financial Results Conference Call. (Operator Instructions). This time I would like to turn the conference call over to Robert Blum. Mr. Blum, please go ahead.
Robert Blum: Thank you, Jamie and thank you all for joining us to review the financial results of S&W Seed Company for the first quarter and fiscal year 2015 which ended on September 30, 2014. With us on the call representing the company today are Mr. Mark Grewal, President and Chief Executive Officer, Mr. Matthew Szot, Chief Financial Officer.  At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. If anyone participating on today’s call does not have a full text copy of the release, you can retrieve it from the company’s website at www.swseedco.com or numerous financial websites. Before we begin with prepared remarks, we submit for the record the following statement. Statements made by the management team of S&W Seed Company during the course of this conference call may contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, and such forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements describe future expectations, plans, results or strategies and are generally preceded by words such as may, future, plan or planned, will or should, expected, anticipates, draft, eventually, or projected. Listeners are cautioned that such statements are subject to a multitude of risks and uncertainties that could cause future circumstances, events, or results to differ materially from those projected in the forward-looking statements, including the risks that actual results may differ materially from those projected in the forward-looking statements as a result of various factors and other risks identified in the company’s 10-K for the fiscal year ended June 30, 2014, and other filings made by the company with the Securities and Exchange Commission. With that said, let me turn the call over to Mark Grewal, Chief Executive Officer for S&W Seed Company. Mark?
Mark Grewal: Thank you Robert. Good afternoon to all of you. As always, we thank you for taking the time to participate on today’s call. Before we begin for the all brave women and men of our armed forces on this Veterans Day from all of us at S&W Seed let me say thank you for your service. I will first review some of the challenges that we’ve faced over the past year along with some of our accomplishments and initiatives going forward. Matt Szot, our Chief Financial Officer will also review some of the financials in greater detail and then I will conclude with few remarks before we turn the call over for your questions. Clearly a number of challenges presented themselves over the past 12 to 15 months in the agricultural markets. As many of you’re aware corn and wheat prices have been on a roller coaster due to the bumper crops the last couple of years ending certain ETFs in a multi-year lows. Alfalfa has had it's own share of ups and downs as well. They hay prices in the Western U.S. are near all-time highs, there are other dynamics and play around the world that we have put pressure on. Seed prices, then they put the pressure on the seed prices in certain regions. The main catalyst for this was Australia's robust alfalfa seed harvest in 2013 which resulted in a (indiscernible) of lower priced alfalfa seed hitting the market over the last 12 to 15 months. Additionally when Argentina's recent economic issues hit with the resulting depression of it's currency, seed typically would have been sold to the Argentine market was diverted to other markets namely the Middle East where a large portion of our seed is sold. So when you couple an increase supply of lower price seed from Australia in a Argentina market that has been hampered due to currency issues resulting in dramatically decreased relative demand, they have near term disruption in the overall market. We have communicated these issues to you as they became apparent. However it is clear that the timeframe in which this market dislocation would work itself out shifted and discussions with our customers there was a belief in certain markets that there would be resolution and flushing out of the imbalance by these recent selling season which is what our expectations were based on. While we did see a return of more normal purchasing patterns in certain markets including parts of North Africa and Mexico as a whole it's still has not returned to the optimal levels that is headed in the right direction. As we talked about on last quarter's call the market in Saudi Arabia essentially remains somewhat on the sidelines during the first quarter and contributed to the short fall compared with last year's revenues. When you look at the revenues from last year's first quarter to what we reported in this year's first quarter. The short fall is largely attributed to what we have earmarked for Saudi Arabia. All of that said there are always ways to sell seed to try and hit a revenue number, if we were to drop prices I'm confident we would have been able to move seed into a number of markets, but in the Middle East and hit a number. However I believe this would have both near term and longer term negative implications that are not beneficial to S&W. We certainly understand the implications to investors that occur with uneven quarter-to-quarter fluctuations and we’re dedicated to do everything we can to become an organization, that better balances the delicate line of meeting expectations of those on Wall Street while doing what we believe is in the best long term interest of S&W. Where we need to improve in my opinion is not on dropping our seed prices to new seed during dynamic markets like others have done but to further expand a sales and distribution channels that we have in place in order to lessen our reliance on certain markets. Markets such as Northern Africa and Mexico remained strong while others such as Saudi had remained soft and are now just starting to really strengthen. Need to do a better job of bringing on new distributors in certain markets. At the core, we need to expand the addressable market demand equation to meet the increased supply capabilities that have occurred over the last 24 months with our acquisitions of Imperial Valley Seeds and Seed Genetics International. I believe that we have made some very good strides in the last few months to move in that direction. We recently signed a joint venture in Argentina with one of it's leading agricultural biotech firms, Bioceres, we also signed new distribution agreements in Pakistan with Maxim and going back to a couple of quarters we signed an agreement with one of the leading ag input companies in the Western U.S. And we continue to be working on additional arrangements to further expand our distribution capabilities. While we do not expect this new agreements to have a sizeable impact immediately we’re confident that they will be a driver of improved operational performance as we move forward. At the end of the day we do not want to incorrectly tell the market S&W Seed is nothing more than a commodity supplier by dumping seed, at less than desirable prices. We believe that the capabilities of our seed genetics [ph] provides us superior benefits compared to those on the competition and we do not warrant that type of discount pricing. There is a value calculator on our website and when you compare our S&W Seed varieties to comp, theoretically drop comp [ph] pricing to zero and it would still make more sense to plant S&W varieties because of the increased yield capabilities that you attain with them. We have not successfully communicated this benefit widely enough and need to do a better job of marketing going forward. We take a 30,000 foot view of the marketplace, we see the indications of the market that will become more normalized in the near future and that we’re well-positioned to benefit as conditions improve. I know that there are those of you that have a much shorter timeline based on quarterly results. I certainly appreciate that and by no means discount your obligation to you shareholders. However, I also hope that we can take the step back from the quarter-to-quarter variability to understand while we’re building at S&W. We’re building what we expect to be a leader in the alfalfa seed industry for many years to come. We’re well positioned to address an enormous challenge and at the same time avail ourselves of a monumental opportunity of meeting the demands of an expanding global populations desiring higher amounts of protein in their diets with increasing arable land it represents. Alfalfa is a gateway to that higher level of protein and we got the most effective varieties in the world. We have done an excellent job of increasing our seed production capabilities, the strong geographic diversification. They have increased our capabilities included not only in non-dormant but also dormant seed production. They have a strong product development pipeline to include tropical varieties and multiple biotech initiatives. And all of this is back stopped by what we believe is the most elite alfalfa seed genetics available in the world with our S&W Seed varieties. Such has been accomplished over the past four years and I believe much more will be accomplished going forward. The reality is that agricultural companies will continue to be subject to a certain amount of risk in consequently fluctuations. We recognize the need to better manage those risk and market fluctuations and to do everything in our power to become a company that we can accomplish a level of quarter-to-quarter consistency without negatively impacting a long term interest of the company. As shareholders you can be sure that we take this seriously. Revenues for the first quarter were below last year's first quarter. Our outlook for the second quarter appears to be improved. We’re able to see more normalized purchasing patterns in the back half of the year and don’t run into any significant obstacles, we should be able to achieve our goal of approximately 10% organic increase revenue growth over last year. We recognize that there is an uphill battle to get there based on the performance of the first quarter but we’re clearly focused on accomplishing this objective. Let me turn the call over to Matt for a review of the quarter in more detail before I conclude with some closing remarks and then we will turn the call over for any of your questions. Matt?
Matthew Szot: Thanks, Mark. Since everyone should have access to the summary financials in the press release, let me provide some additional details in a few areas. For the first quarter, revenues totaled 8.2 million, compared to 12.4 million a year ago. As Mark just indicated the decrease in revenue from a year ago is largely attributable to shipments in the Middle East that did not materialize during the quarter but we expect to ship later this year. Gross margins in the first quarter totaled 16.1% compared to 18.6% in Q1 of the prior year. As we have communicated during recent quarters, gross margins will vary quarter-to-quarter based on the mix of seeds sold. During the first quarter there was a higher percentage of lower margin seed sold which brought the overall gross margins down. There will continue to be quarterly fluctuations in gross margins based on revenue mix in any particular quarter. However with the initiatives in place we expect to see continued improvement in gross margins on an annual basis as we move forward. SG&A for the first quarter totaled 1.8 million which was in-line with our previous guidance and compared to 1.6 million in the comparable period of the prior year. The increase from Q1 of the prior year was primarily due to increased expenses associated with the potential acquisition. We estimate that SG&A for the second quarter is going to be approximately 1.8 million as well. Now let me spend a little time discussing our inventory balances and receivables, regarding inventory we ended the quarter with approximately 29 million of inventory on hand which is basically consistent with inventory levels at the same time a year ago which were 28 million. This number includes new inventory from the California harvest which just concluded but not included in this number is seed that we anticipate sourcing in just a time format which is part of the IVS [ph] business model and likewise, it does not include the contractor grower seed from the Australian harvest, which will incur in the May and June 2015 timeframe. While we like to see our inventory turn quicker than it has over the past 12 months, our overall inventory levels are at an appropriate level given our fall and spring harvest and the sales growth we’re expecting. Remember we need to have the appropriately level of inventory to capitalize on demand which our sales team is expecting during this fiscal year and into the next year. And seed can only be produced once a year in California once per year in Australia. Now turning to account receivable for a moment, our account receivable decreased approximately 3 million from the June 30 quarter, we continue to experience an orderly collection of receivable and provide some further details on this. At the end of June, we had 24 million of receivables outstanding and during Q1 we collected approximately 10 million of these particular receivables and since then in Q2 we have collected an additional 5 million of these particular receivable. The remaining June receivables are expected to be collected this quarter and I do want to reiterate that the existing balances are consistent with our historical payment terms and terms offered by our competition. I will turn the call back over to Mark.
Mark Grewal: Thank you, Matt. Our Stevia development front we remain on track to file our patent we had previously discussed by the end of this month, by November barring some unforeseen circumstance. We believe that most companies involved in Stevia are focused on production, processing, products or other downstream uses for Stevia. As we talked about we have been advised that there is only one Stevia plant patent currently in effect in the United States, we potentially have a unique opportunity to develop and improve Stevia varieties with unique characteristics. I believe strongly that we have positioned S&W and we will continue to S&W to be the leader in the alfalfa seed industry for many years to come. There will certainly be quarter-to-quarter fluctuations but I believe there will also be year-over-year growth and long term appreciation. We thank you for your support and those the support we have lost. We are dedicated to reearning that support all over again. With that said Jamie, I'm going to let you take it over and open the call for any questions.
Operator: (Operator Instructions). Our first question today comes from Brett Wong from Piper Jaffray. Please go ahead with your question.
Brett Wong - Piper Jaffray: First on the delayed shipments in the Middle East, just wondering if you can provide any color when you might expect to see those shipments recognized?
Mark Grewal: We’re shipping in this quarter, Matt, can give you some more. We’re actually working on our optimization program a little bit in more strength and so our main distributor has already ordered maybe 11 containers. Is that correct Matt?
Matthew Szot: And Brett, we’re expecting this year the sales into Saudi, to our main customer in the Saudi with the S&W product line happened in various quarters. We’re going to be shipping product in Q2, Q3 and Q4 to them. Now we will continue to attack the Saudi market with other product lines through IVS and SGI and those will also happen but primarily loaded into Q4.
Mark Grewal: So Brett, we’re seeing a start to shift and become more positive. We can also note that Australian seed more of a public variety types is slightly increasing the pricing and so some of this has worked out the inventories and it's gone and so we’re cautiously optimistic.
Brett Wong - Piper Jaffray: Kind of looking into the communication of the value proposition you talked about, Mark. So it's been an ongoing effort to successfully communicate that value proposition, I'm just kind of wondering, if you can talk to some more specifics on how that’s going and what needs to happen to further improve adoption?
Mark Grewal: The adoption side as far as to the grower, I don’t think it's as critically as actually getting the product lines and branding of the blend registered in each country and then the consistency of being able to supply that blended product year-over-year. So we’re very certain that we take a certain brand and we have got a 50% blend of Australian versus S&W, we believe that the optimization will continue to be enhanced as we move forward and get those products continually registered and be more enhanced. So as an example if we took SuperSonic and another proprietary variety like Catalina, we’re in the process right now of creating a blended product for certain customer that has to be registered but then a year down the road, or two years down the road we still have to be able to maintain that exact mix to that customer and that’s where we have to continue to revamp our acreage, ship product lines into those varieties from California to Australia and continue to enhance what we have started just a year ago.
Brett Wong - Piper Jaffray: That’s really helpful on the optimization piece. On the communication to the actual farmer about the value that your proprietary seeds bring over public varieties and you talked about that in your prepared remarks a little bit Mark, what needs to happen there? I mean that’s been something that we have talked about for a while now. I mean what has to happen there for that to really grab hold? You said you have a calculator on your website I mean are they using it? Are there more guys out on the field? I mean what needs to happen for that to happen?
Mark Grewal: Big educational move in text sheets, materials, readers, going in physically to different distributors from both Middle East into Argentina and also educational and distribution and new distributors and getting that information so they understand and convey it and their culture and for us to culturally present the data that’s necessary so they understand it and understand why this value is there and we have really just started that program.
Matthew Szot: We will be doing more trials in particular foreign markets. We’re doing market trials in the University here in the United States, the more we can do trials in Saudi Arabia easier it is going to be to communicate that message.
Brett Wong - Piper Jaffray: Okay, so it's more of a timing piece rather than a workforce piece?
Mark Grewal: Well it's also, you know we’re upgrading, we’re creating new brands with additional from a lead term (indiscernible) both Australia and California to get that optimization margin enhanced and so you have to get out with those trialings whether they are in Arizona or whether they are in Saudi Arabia or Argentina. So we’re working continuously with our breeding staff and our agronomics side [ph] hitting those setup. Of course what matches brought out is very important because in some areas they don’t believe the university trials even if you’ve a number of them, they want to see it on their own. Geographic locations and so those types of things have to be implemented across really the Middle East and North Africa.
Brett Wong - Piper Jaffray: And then one last one for me, when you talked about expanding your into new distribution partnerships from and that they are maybe some smaller agreements coming on the pipeline. Just wondering if there are any large agreements in the works in new geographies?
Mark Grewal: Brett, I would just state that we’re constantly looking at the globe and methods and the ways that we can participate in new joint ventures that are going to enhance the market share. And I think you will just have to see what occurs as we move forward.
Operator: Our next question comes from Mike Malouf from Craig-Hallum Capital Group. Please go ahead with your question.
Mike Malouf - Craig-Hallum Capital Group: Can you give us, Mark, a little bit of color on the timing when you get registered? I mean what's the process of that?
Mark Grewal: It's varies from country to country, the process is actually text sheets and for example let's just take one product I know we’re working on. The S&W component is already registered, now it's taking another component and actually showing them what that is and the blend and it is actually certified and that all sort of certifications to correct. So it could be anywhere from a couple of months to maybe six months for each product.
Mike Malouf - Craig-Hallum Capital Group: I came on just a little bit late, did you give an update on what's going on your dormant side and if not could you expand on that?
Mark Grewal: Currently, we only have approximately about 300 acres in Manitoba. We will definitely continue to enhance that acreage and get more. There is a big crunch in those mid-dormant's, Mike, they are very short supply, there is a lot of companies looking for those products right now. So you’re going to some increase in spring planting contracts coming in and so we will have to look at what those pricing levels are to determine if Canada is the right place or maybe we move some mid-dormant production into Australia or other areas but the bottom line is slowly tightening the seed industry, and slowly tightening, it's very beneficial.
Mike Malouf - Craig-Hallum Capital Group: And how dormant can you go in Australia, I mean based on the number or what -- I thought it was mostly non-dormant there.
Mark Grewal: Well I used to grow quite a bit of dormant for a number of companies in my past farming operations, Mike and we went down as low as four ourselves but you could go to any number and produce the seed that probably have is not growing the seed there is that if you’re not in the right environmental conditions, you’re seeing yields can be lower. So if we just took a non-dormant variety that you and I might grow in California in the San Joaquin Valley and we should get a 1000 pounds per acre off of it on a good year. We might only get 400 pounds on the same field with a dormant C4 or C5 type rice. So it's not going to yield as much. And the other thing that really understand is that you’re going to need extremely high intensity pollination because they don’t pollinate as quickly and that takes high cost, (indiscernible) so your cost to do in the non-dormant area can be more so you got to look at what the pricing differentials are to make sure that that’s where you want to be but if you needed to ramp up quickly then you could.
Operator: (Operator Instructions). Our next question comes from Phillip Shen from Roth Capital. Please go ahead with your question.
Unidentified Analyst: It's Matt on for Phil. So just wanted to discuss margin improvement for the year. I think in the release you guys said you expect year-over-year margin improvement. So could you just break it down a bit by quarter maybe if you could talk about are you relying on a significant improvement in the second half of this fiscal year to meet the goal or do you think it's kind of be the steady improvement each quarter after this one?
Mark Grewal: Well Matt, I think I want to just restress in that when we look to this year's margin improvement over last year's the main driver to that margin improvement is going to be the execution of our optimization strategy. We have a number of other gross margin expansion issues but those really won't start playing out until the following year, us producing in S&W genetics in Australia is something that we will start coming to fruition in Q4 of this year, we have a 1000 acres planted so that’s maybe going to bring roughly 400,000 or 500,000 pounds of S&W lead genetics at a lower price point in Q4, but besides that optimization is really path for gross margin improvement throughout this year and we do think that margins will be better for the remainder of this year. Again they are going to vary quarter-to-quarter just based on revenue mix but certainly we will would think the back half of this year were a lot of more of our revenues concentrated is where our margin uptick is going to be more prevalent.
Unidentified Analyst: And then just wanted to discuss your visibility and the inventory in the Middle East market, and maybe just more generally the visibility in the inventory levels globally. You guys have thought that the lower prices -- it will work it's way through the market by fiscal Q4 or Q1, it seems a little later now. So two questions around this, I mean what better data are you guys getting this time around that tells you that Q2, Q3 is kind of the end of the inventory work down and then second are there any steps that you guys could take to improve visibility into the Middle East or any other market for that matter into other geographic markets I will take that.
Mark Grewal: Your compound question there, Matt, can you break up the first part again for me on the--
Unidentified Analyst: Yes sure, the first was really just what better data are you guys getting to this time around that tells you that the Q2, Q3 with the end of inventory work down in the Middle East?
Mark Grewal: Let's look at overall global acreage and what's occurring in the world right now. In California, where a majority of your seed is produced and with 6000 less acres of production of seed that stayed in hay. In Australia we had a lower crop overall in the entire country than what was anticipated or what occurred the year before. Hay is very strong, so guys stayed in the hay in some areas where they would normally maybe go see production at the end of the year. Canada is about out of seed, Italy is lower, quality type stuff is gone and the public varieties like (indiscernible) river out of Australia have increased by $0.40 a kilo in price. So, what that indicates the brokers are searching and what other markets are looking at is the low end of the market is coming back up and it's coming back up roughly 10% over where it was 4 or 5 months ago. So, we see that it's going to continue to get improved depending on coming into next March, April, May when you start getting some Australian crop back up to just see where they are. So again we’re more cautiously optimistic, it is improving. It's going the right way and I personally believe that the amount of inventory is very low.
Unidentified Analyst: And then I guess the second part of it was are there any steps you can take to improve visibility either in the Middle Eastern market or other significant geographic markets.
Mark Grewal: We’re always looking at marketing strategies on how we can improve the knowledge and the base of what we have available versus the others. I think we’re pretty strong in Saudi Arabia and been there a long time and everybody really talks about different type of seed. What's very important for us to do as a company is to continue to improve our mix of seed and get the higher end stuff grown in larger acres and get more seed production of that. And so once we do that it's really going to help the optimization, total margin enhancements and our abilities to have more control over quarterly fluctuations. But we’re continuing to work on that and we have got long ways to go.
Unidentified Analyst: And then one more here, you guys recently announced the share buyback program was going to be reinstated. So, could you just talk to us about how you think about share repurchases? Are you comfortable buying back some shares at these current levels? We’re calculating you might be able to retire about 5% of outstanding shares given the authorization for about $2 million a year. Give us just your general thinking on the timing of buybacks and how you might potentially go about doing this?
Matthew Szot: The share buyback program is a program that’s really managed by our Board and those decisions are driven at that level. And it's all we can really comment at this point in time.
Operator: Our next question comes from David Hansen from DRH Investments. Please go ahead with your question.
David Hansen - DRH Investments: I was just curious on a couple of questions, first of all looking at the total operating expenses, how significant a portion of that is legal expenses related to filing an Stevia patent or perhaps it's non-existing and it's a future expense that’s going be incurred?
Mark Grewal: The patent cost of filing Stevia -- filing the Stevia patent are roughly (indiscernible), David. 
David Hansen - DRH Investments: Okay. And do you guys anticipate once filing here in the U.S. with the USPTO, filing a patent in any international markets as well?
Mark Grewal: If we were doing, if we couldn’t control the IP or we were worried about moving seed production into another geography we would need to do that. I don’t see that as an issue at this time, Dave. We’re really after U.S. at a not a variety and controlling whatever we do with that in the states right now.
Matthew Szot: And we certainly will be consulting with our IP council to make sure that we’re -- if there is a need to do that in international markets, we will take the appropriate steps.
David Hansen - DRH Investments: Any update on any GMO seeds for domestic use in terms of timeline or potential IP involved in that in the future?
Mark Grewal: Dave, we’re wrapping up our final discussions with Monsanto right now. We expect to have a larger amount of acres I will say 200 plus acres, maybe more for harvest, first commercialization of sales on two varieties, we’re on it already a year from now.
Operator: Our next question comes from Ian Gilson from Zacks Investment Research. Please go ahead with your question.
Ian Gilson - Zacks Investment Research: I have got a couple of questions, one for Matt, the specs [ph] credit was rather surprising given the reported losses over the last couple of years. Where did that credit damage you calculate that and what is left of any NOL and where is the NOL? Is it all in the U.S.?
Matthew Szot: Tax credit are you referring to I'm not sure I'm entirely understanding your question.
Ian Gilson - Zacks Investment Research: Your tax payment was a negative in other words you had a credit for taxes of $438,000.
Matthew Szot: Right, that’s because our pretax losses totaled 1.3 million so we had an effective rate of roughly 33% which is consistent with where we would expect it to be and that’s just a combination of our income tax rate in Australia and our income tax rate in United States.
Ian Gilson - Zacks Investment Research: But if I remember correctly you can only accrue a credit if you had a prior profit for which you pay taxes?
Matthew Szot: No it can build up, it can absolutely build up deferred tax assets or NOLs in the United States. In California, there is limitations on your NOLs that you can build in California but certainly from a federal level you can build up NOL which is what we’re doing. We have got over $3 million worth of deferred tax assets on our balance sheet which we look to capping into here very shortly.
Ian Gilson - Zacks Investment Research: I think we should -- I would like to talk to you about that offline because I'm a bit confused about that.
Matthew Szot: Sure. I can give you a call and we can go through the details.
Ian Gilson - Zacks Investment Research: Yes, why don’t we do that. And then looking at Stevia, you mentioned when you were asked in the prior question about a growing seed and -- or sending seed for growth in product in the U.S. Am I correct here?
Mark Grewal : Well the ultimate goal is we’re a seed company, we’re looking at a number of different initiatives on varieties from quality, taste, yield, leaf capabilities and seed. So we’re looking at all of those things and have been quite a while Ian, and we’re very again we’re cautiously optimistic on all of the data that’s been collected and as we prepare for the first patent here this month. Hopefully that will lead new types of products and things that we can look at it as we move on in the future.
Ian Gilson - Zacks Investment Research: I thought the strategy on Stevia had changed somewhat that you’re going to be primarily a seller of seed and not a seller of leaves.
Mark Grewal: We have to get a plant that would be contracted just like our alfalfa seed production with outside growers. They would be growing that plant for leaf production for a company that wants a liquid, granular, powder process into a product that’s going to go into a commodity. So yes, no matter what you do you’re going to have to come up with a way to grow plants through seed and then contract that out. But the main product uses the processing of leaf from a grower base to a company. We’re not going to be the ones physically farming the leaf.
Ian Gilson - Zacks Investment Research: So when might we expect some meaningful Stevia revenue?
Mark Grewal: We get the variety patented and we go out and start production. It's a slow ramp up at the beginning and then it kind of goes logarithmic [ph]. So substantial or significant, Matt what do you think three years?
Matthew Szot: I mean I don’t think we have exact visibility on that Ian, I can tell you that there is opportunities to do collaboration work where we could in essence to R&D collaboration with other companies where we could be -- will be accessing our germ plasm that could potentially happen in the next 12 to 24 months in terms of generating revenues outside of R&D collaborations, that’s probably at least 2 to 3 years out. I would just want to err on the side of caution in services on that I would say that will be couple years down.
Operator: Our next question comes from Keith Gil from JHS Capital Advisors. Please go ahead with your question.
Keith Gil - JHS Capital Advisors: Question regarding China, can you give us some update on China perhaps what you’re anticipating in terms of pounds be awarded and how you might be able to ramp up and where you would ramp up to fill the orders?
Mark Grewal: That’s a lot easier ramp up, we already have the seed of a number of varieties like Rhino, Trophy, Runner, Monument, Multi-Leaf. There is trialing that’s now going into it's third season in China in four different regions that’s all being analyzed breeders. We do have a distribution with one company that we haven't really announced yet and we will work on that towards putting more product in there. We’re solely expanding our dormant acreage to meet those demands when those sales are there. So as an example if we knew, we’re going to start with the (indiscernible) so if we have a big sale then we could ramp up, we have say 30,000 pounds of Rhino, we can go out literally and plant an 1000 acres or more which would be millions of pounds. So that’s a faster ramp in any of the other discussions that we have talked about as far as like a roundup ready in that acreage or what Matt was discussing on Stevia to get the plants because you don’t have the planting stock. We have the planting stock ramp up on dormant as we move forward and get those markets enhanced as far as what people want from the testing. So the big phase was actually getting in there and getting products registered and getting distribution and making sure you can always control your IP. We’re satisfied.
Keith Gil - JHS Capital Advisors: Okay. And is there any update you can offer on your opportunities in India?
Mark Grewal: Not at this time. We’re always looking hard at geographies. I hope some point we can get some of those things discussed but nothing right now.
Operator: And our final question for today comes from Frank Smith from Investment Group Management. Please go ahead with your question.
Frank Smith - Investment Group Management: Regarding the Saudi Arabia market, is that a two growing cycle market or is that a single growing cycle?
Mark Grewal: The big market normally is the fall for planting so, it's that fourth quarter into the first you have to get the product over there. Smaller market historically speaking is the spring, but it's a two planting market similar to California.
Frank Smith - Investment Group Management: Okay and are there any issues with water over there like we were having in California?
Mark Grewal: They have been having, well when you issues their issues are a little bit different than California. California is a more of a (indiscernible) drought although we have had a rain, we do have the ability to save water but in California they tend to environmental regulations tend to push water out of the delta and so we lose a lot of water that could be captured for farmers growth and in Saudi Arabia they have more ground water restrictions, they are always looking at the ground water or over drafting and so they have those types of things to look at but the dairy industry their needs for their animals they are going to get that feed somewhere. So whether a company is farming in the actual country or they purchase ground in another geography they are shipping back that alfalfa hay back to their country, they are still feeding those animals. So we’re not particularly as concerned of the actual place but the sale is being made. We just want to make sure we get the sale.
Operator: Sir, at this time I'm showing no additional questions.
Mark Grewal: Well then again my thanks to everyone for participating on today's call. We look forward to talking with you again at the conclusion of the current quarter. Have a good evening.